Operator: Good afternoon, ladies and gentlemen, and welcome to the Farmer Brothers Fourth Quarter and Fiscal Year 2018 Earnings Conference Call. At this time, all participations are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Kaitlin Kikalo. Please go ahead.
Kaitlin Kikalo: Thank you. Good afternoon, everyone. Thank you for joining Farmer Brothers fourth quarter and fiscal year 2018 earnings conference call. Participating on today's call are Mike Keown, President and CEO; and David Robson, Treasurer and CFO. Earlier today, the Company issued a press release, which is available on the Investor Relations section of our Farmer Brothers website at www.farmerbrothers.com. The press release is also included as an exhibit to the Company's Form 8-K available on the Company's website and on the Securities and Exchange Commission's website at www.sec.gov. A replay of this audio-only webcast will be available approximately 2 hours after the conclusion of this call. The link to the audio replay will also be available on our website. Before we begin the call, please note that all of the financial information presented is unaudited and that various remarks made by management during this call about the Company's future expectations, plans and prospects may constitute forward-looking statements for purposes of the Safe Harbor provisions under the federal securities laws and regulations. These forward-looking statements represents the Company's views only as of today and should not be relied upon as representing the Company's views as of any subsequent date. Results could differ materially from those forward-looking statements. Additional information on factors that could cause actual results and other events to differ materially from those forward-looking statements is available in the Company's press release and public filings. On today's call, management will also use certain non-GAAP financial measures, including EBITDA, EBITDA margin, adjusted EBITDA and adjusted EBITDA margin, in assessing the Company's operating performance. Reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures is also included in the Company's press release. I will now turn the call over to Mike. Mike, please go ahead.
Mike Keown: Thank you, Kaitlin. Welcome, everyone, and thanks for joining us this afternoon. We had a solid finish to the fiscal year and are pleased to have achieved adjusted EBITDA in line with our guidance. As we look back at fiscal 2018, despite hitting a few speed bumps, I'm very proud of how the organization executed and delivered this year as we continue to take significant strides forward in our efforts to build sustainable, profitable growth and deliver long-term value for our shareholders. The team has done an incredible job integrating the Boyd's business and the start-up in SQF certification of our Northlake facility was a major milestone for us. We directed a substantial degree of effort towards both, the integration and certification throughout the year while also remaining focused on continuing to win and bring onboard new customers in both, our Direct Store Delivery, or DSD, and Direct Ship business. In addition, we continue to make tremendous progress on our sustainability, stewardship, and environmental efforts. Touching briefly on our financial performance, sales in the fourth quarter including sales from the acquired Boyd's business were up 12% year-over-year, and excluding the contribution from Boyd's declined 2% year-over-year. For the fiscal year, sales grew 12% to $606.5 million compared to $541.5 million in fiscal 2017. And excluding the contribution from Boyd's declined 4/10 of a percent year-over-year. We processed over 27 million pounds of green coffee volume in the fourth quarter, an increase of almost 18% compared to Q4 fiscal 2017, and over 107 million pounds for the fiscal year, up 12.5% from fiscal 2017. Adjusted EBITDA of $14 million in Q4 was more than double to $6.8 million reported in the prior year period and adjusted EBITDA margin expanded to 9.3% from 5.1%. Our results in the fourth quarter reflected better than expected performance from Boyd's as well as our costs savings efforts. For the fiscal year, adjusted EBITDA was $47.6 million, an increase of 11% from $43 million in fiscal 2017. Adjusted EBITDA margin was 7.8% in fiscal 2018 compared to 7.9% in fiscal 2017. In order to be more in line with customary reporting in our industry and to offer better transparency into our business, we made an accounting change from LIFO to FIFO and reclassed certain expenses between cost of goods sold and SG&A. All of the year-over-year comparisons I noted are based on this new accounting method and David will provide additional information when he reviews our results in more detail shortly. Now, let me talk about how we are continuing to execute our strategy and provide an update on our activities in the fourth quarter. Having completed the acquisition of Boyd's in October of 2017, a key focus for us throughout fiscal 2018 has been to integrate this business into our operations. As you know, Boyd's is expected to add about 15 million pounds of green coffee into our business on a run rate basis or about 14% of our total volume. In fact, Boyd's added over 13 million pounds of green coffee into our business in fiscal 2018 or about 12% of our total volume throughout the year. As we have worked throughout the year to bring the two businesses together, our goal has been to retain customers and protect our revenue channels without losing sight of our base business. We developed a detailed integration plan to bring Boyd's direct ship and DSD customers into our business to transfer coffee production to our plant and to transition other production related functions. This was a significant undertaking and our team has executed very well throughout the year. After completing the production qualification process with Boyd's large national accounts and taking leadership of all Boyd's direct ship customers in the fourth quarter, we began production in Farmer Brothers facilities. As of today, we have already begun producing a large portion of the Boyd's total SKUs in our Farmer Brothers facilities and we intend to produce a 100% in our facilities by the third quarter of fiscal 2019. During the fourth quarter, we also completed the integration of Boyd's DSD customers into our network and have ensured all Boyd's routes are on our Smart Touch technology. We are very pleased to note, that we have retained a 100% of Boyd's large national accounts and have retained DSD customers in line with our typical customer turnover. Importantly, we are thrilled to have transitioned a national account line-up that brings in our estimation some of the highest quality restaurant, convenient store, and grocery customers into the Farmer Brothers fold. While we still have some integration work to complete, we remain on-track for Boyd's to complete the integration in the second quarter of fiscal 2019 and continue to expect to see increased benefits from this transaction in the second half of the year. Turning to an update on our DSD business; in the fourth quarter while new customer wins did not offset turnover in street account sales, we did begin to onboard some of the customers in the new business pipeline created by our channel sales teams, and are beginning to see benefits from our channel-based selling approach that we started in fiscal 2017. In addition, as we integrated Boyd's DSD business into ours we have seen opportunities to further optimize our DSD network. We have begun a review of our network, routes and branches, and we have implemented a new routing software solution that will identify ways we can deliver to our customers more efficiently, enable more customer-facing time for our sales people, and make us more competitive in the marketplace. As we discussed last quarter, we continue to believe that the work to create a channel-based selling organization has been the right move to position our Company for the future based on where we believe the industry is headed. We feel confident this approach can and will win us more business with larger national restaurant and retail chains and therefore, generate more consistent growth over the long-term as we onboard the customers from our healthy pipeline. We look forward to a route optimization initiative providing further support for our selling organization. Turning to our direct ship business; during the fourth quarter we continue to see softness from two of our largest customers as we had earlier in the year. Each of these customers from what we have seen are experiencing business challenges. In the quarter, we completed the implementation stage with a very significant customer and expect to ramp up production with this customer throughout fiscal 2019. We believe this very significant customer has the potential to grow and become one of our Top 3 accounts over time. The ability to bring this customer is the perfect example of why we decided to leave Torrance and build our new Northlake facility. We are also excited about our new partnership with a leading food service provide to colleges and university which has resulted in initial business gains in the southeast with plans to expand nationwide. While we do not name specific customers we have also begun to install one of the largest healthcare providers in Texas and have gained new accounts in the gaming industry, specifically in Central and Northeast U.S. With the facilities recent SQF certification and a healthy pipeline, we remain excited about our ability to increase volume over time. Before I turn the call over to David, I'd like to give a brief update on our sustainability initiatives. We believe that our leadership in, and commitment to sustainable business practices enhances our ability to deepen existing customer relationships, and in fact, is a competitive advantage for us as we work to win new customers. During fiscal 2018, we are very pleased to have made the Carbon Disclosure Projects Climate A List for our leadership in reducing direct and indirect emissions. We made progress in reducing greenhouse gas emissions across our roasting at administrative operations to achieve our improved science based targets. In addition, we achieved our goal of 90% waste diversion for our primary production and distribution facilities. To accomplish this goal, we implemented ambitious recycling and composting guidelines across these facilities. The enhanced efforts resulted in an approximately 80% reduction from previous years, meeting the zero waste in our national alliance requirements for diverting wastes into landfills in these locations. We also very recently were awarded lead silver certification for our Northlake facility. As for our coffee sourcing, we remain committed to increasing sustainably sourced coffees in our supply chain, and we continue to track traceability levels from all green coffee suppliers on a per contract basis. During the past fiscal year, we expanded our project direct program completing a baseline analysis of a third origin, Brazil. Also, you may recall that in fiscal 2017 we surveyed our green coffee suppliers to assess their social environmental and economic sustainability practices, as well as their alignment with United Nations global compact. At the time, we documented 99% compliance with United Nations global compact practices from our respondents. In fiscal 2018, we expanded our survey to include not only our green coffee suppliers but also our top suppliers of processed coffee and non-coffee products. We expect to have the results of this survey soon and we expect to include them in our 2018 sustainability report. We continue to be excited about how Farmer Brothers is positioned in the market, and about our future growth opportunities. As most of you know, coffee is a growing business, estimated to be a $76 billion industry and price points for many coffee products are on the rise. We believe that we have strengthened our platform for long-term growth in the past year. We continue to make significant progress in sustainable cultivation, manufacturing, and distribution practices while maintaining our commitment to serving some of the finest products available, all of which help make us some more attractive partner for customers and potential customers. We have a DSD channel-based strategy that is beginning to generate new higher quality customer wins. We are expanding our distribution network, adding to our customer base and exploring new product categories. The SQF certification of our Northlake roasting facility is allowing us to bring out large national direct ship customer accounts to further enhance the efficiency of our production infrastructure, and longer term we believe we have established the ability to grow through M&A in addition to growing organically. We continue to believe that we have the right foundation in place to continue growing our industry-leading sustainability programs and to achieve superior results, and our team remains highly focused on continuing to execute our strategy and deliver strong financial performance in fiscal 2019. I'll now turn the call over to David for a more detailed review of our financial results. David?
David Robson: Thanks, Mike. I'll now go into further detail regarding our results for the fourth quarter and fiscal year. First, as we noted in our press release and as Mike mentioned, during the quarter we adopted a change in accounting principle by converting from the LIFO inventory method to FIFO. Along with this change, we also changed our accounting policies around certain freight and warehousing expenses that we feel are more appropriately classified as a cost to sale. These changes were adopted retrospectively, and all reported prior periods were recast. We believe these changes bring us more aligned with customary practice within our industry and provide better transparency. Now beginning with coffee volumes; green coffee processed and sold in the quarter increased by 4.1 million pounds or 17.6% compared to the fourth quarter of fiscal 2017, with the inclusion of Boyd's volume. Volumes from our base business were down 0.2% from the prior year fourth quarter, driven largely by lower DSD sales. The mix of coffee volumes processed and sold across our distribution network during the quarter was approximately 9 million pounds or 32.7% of the total volume through our DSD network, while direct ship customers represented approximately 18.1 million pounds of green coffee processed and sold, or 66% of the total volume. And sales through distributors, including through new distributor relationships acquired through Boyd's made up the remainder. Turning next to the income statement; net sales for the quarter were $149.5 million, an increase of $50.7 million or 12% compared to the same period of the prior year. This increase was driven primarily by $18.2 million net sales contribution from the acquisition of Boyd's. Excluding Boyd's, net sales declined $2.5 million, primarily due to a decrease in sales from our DSD organization. The impact of lower coffee prices for our cost-plus customers and softness in a few very large direct ship accounts. We remain confident that the recent SQF certification achieved at our Northlake facility will help us to increase business with large national customers and we expect to realize volume and top line benefits from our new DSD sales channel model in future quarters. Gross profit in the fourth quarter of fiscal 2018 increased 9.8 million or 23% to 52.6 million from 42.8 million. And gross margin increased 320 basis points to 35.2% from 32.0% in the prior year period. The increase in gross profit dollars was primarily due to addition of the Boyd's business and improved leveraging of our production and warehouse facilities of higher sales. Operating expenses for the quarter were $50.6 million or 33.8% of net sales as compared to $45.9 million or 34.3% of net sales recorded in the fourth quarter of the prior year. The increase of $4.7 million reflects $6.3 million in additional operating expenses associated with the Boyd's business offset by $1.6 million reduction in expenses in the base business associated with realization of benefits of cost reduction initiatives realized in the fourth quarter. We incurred $2.5 million in integration expenses for Boyd's in the fourth quarter compared to $1.7 million in the prior year quarter, and $0.4 million in DSD restructuring plan expenses in the fourth quarter compared to $1.5 million in the prior year fourth quarter. In the fourth quarter, our total freight cost increased by $0.4 million, a portion of which is expensed to operating expense and cost of sales and a portion is capitalized inventory associated with unsold product. Higher freight and field cost continue to impact our business. For the full year fiscal '18, we experienced higher freight and field cost of $1.2 million and we anticipate these headwinds to continue into fiscal 2019. As we move into fiscal 2019, our transition arrangements associated with Boyd's and their coffee production will be fully integrated into our production facilities. As Mike noted, we expect our operating expense leverage will then begin to improve as we realized cost savings related to the integration of Boyd's and we burnt [ph] our inventory that had been produced by Boyd's at a higher cost during the transition service agreement period. Turning to interest expense; interest expense net of interest income and dividends increased by $0.5 million to $0.9 million of net interest expense in the quarter compared to net interest expense net of interest income and dividends of $0.4 million in the fourth quarter of last year, principally to the higher borrowings associated with the Boyd's acquisition. Turning to income taxes, we incurred $1.3 million as income tax expense this quarter compared to $1.8 million income tax benefit in the fourth quarter of last year. The change in income tax was primarily a result of the change in earnings before income taxes this quarter compared to a loss before income taxes last year. The resulting net income for the quarter was $0.1 million, roughly breakeven per diluted common share compared to a net loss of $1.8 million or a loss of $0.11 per diluted common share in the prior year period. Adjusted EBITDA was $14 million for the quarter, compared to $6.8 million in the prior year while adjusted EBITDA margin was 9.3% for the quarter compared to 5.1% for the same period last year. We were pleased with our fourth quarter EBITDA margins driven by strong performance from Boyd's, realization of benefits of cost reduction initiatives, and increased leveraging of our warehousing and production costs. Our full year adjusted EBITDA was $47.6 million, or 7.8% of net sales compared to $43 million or 7.9% of net sales last year. Included in our full year adjusted EBITDA of $47.6 million, was a $1.7 million benefit of changing from the LIFO method of accounting to the FIFO method. Now let's turn to the balance sheet; at the end of the year we had $2.4 million in cash and we had $89.8 million borrowed on a revolving credit facility. Our debt net of cash at fiscal year-end was $87.3 million compared to $21.4 million as of June 30, 2017. Our debt net of cash has increased primarily due to the funding of the Boyd's acquisition with our bank loan. Availability under our credit facility was $25.3 million at the end of the fiscal year, down from $27.9 million at the end of the prior fiscal year. Now turning to capital expenditures; for the fourth quarter our capital expenditures and cash were $9.6 million of which $4.4 million related to the maintenance CapEx and $5.2 million related to the expansion of our production lines in the Northlake facility which includes work to integrated production volume from the integration of the Boyd's business. For the year, our total maintenance capital expenditures were $21.8 million, which is in line with our annual expectations of $20 million to $22 million spending for maintenance. Depreciation and amortization was $7.7 million in the fourth quarter versus $6.4 million in the same period of the prior year, and $30.5 million for fiscal '18 versus $23 million in fiscal 2017. The increase in this expense resulted primarily from investments made at our Northlake facility, the deployment of the new Smart Touch devices used by our DSD organization, and depreciation and amortization related to assets acquired as part of the acquisition of Boyd's Coffee. The acquisitions of Boyd's Coffee added $0.6 million in depreciation and amortization expense in the quarter, and $2 million for the full year. Based on our existing fixed asset commitments and useful lives of our intangible assets including the addition of Boyd's, we currently expect depreciation and amortization expense to run approximately $8 million to $8.5 million per quarter for the next several quarters. That brings me to an update on Boyd's; we continue to estimate that the Boyd's business will contribute approximately $13 million to $16 million in incremental adjusted EBITDA on an annual basis when fully integrated and all synergies are flowing through. To-date, we have incurred approximately $9.3 million in acquisition and integration costs and we currently expect to spend an additional $1.5 million to $2 million of one-time costs to complete the integration. To-date, we have incurred $6 million in CapEx associated with the Boyd's acquisition, and we expect an additional $3.5 million to $4.5 million in CapEx as we complete the integration. Lastly, I'd like to discuss our outlook for fiscal 2019. For fiscal 2019, we expect green coffee town volume in the base business to grow modestly. This assumes that we will continue to ramp up production for the very significant customer Mike mentioned earlier and that we will continue to convert new direct ship and DSD customers in our pipeline. This will be partially offset by production for two of the brands we currently service being brought in-house by the owner of those brands. Our long-term goal is to increase our volume at market rates or higher. In the last five years, we have achieved organic coffee town [ph] growth of 5%, and we anticipate we can reach this level again in the future. We continue to anticipate that Boyd's will add an incremental 14 million to 15 million pounds of volume on a run rate basis beginning in fiscal 2019. Turning to fiscal '19 capital expenditures; we anticipate our total maintenance capital expenditures for fiscal '19 will be in line with fiscal '18 in the range of $20 million to $22 million. As I noted a moment ago, we expect to spend an additional $3.5 million to $4.5 million in CapEx related to the Boyd's integration in fiscal 2019. In addition, we expect approximately $8.5 million to $11.5 million in investment in CapEx to further add capabilities to our Northlake facility. As we are engaging with potential new customers, we are seeing new opportunities to win new business with additional capabilities in the areas of specialty coffee, cappuccino, and flavoring capacity. We anticipate to generate adjusted EBITDA in fiscal 2019 in the range of $49 million to $52 million. The net improvement in adjusted EBITDA of $1.4 million to $4.4 million over fiscal 2018 reflects incremental EBITDA contribution from Boyd's in fiscal '19 of approximately $2 million to $3 million, and our base business EBITDA remaining relatively flat on assumed modest volume growth. We anticipate labor and freight costs will continue to be headwinds in fiscal 2019. To provide some additional color regarding the cadence of results over the course of the year, we expect the first quarter will be our lowest quarter in terms of adjusted EBITDA, a decline compared to the prior year, and we anticipate the second half of the year will be stronger than the first half as we more fully realize the synergies from Boyd's later in the year. Now, I'll turn the call back to Mike for closing remarks.
Mike Keown: Thanks, David. As we start our new fiscal year, we remain focused on executing across all areas of our business and unlocking Farmer Brothers full potential. Our long-term view of the industry and the prospects for Farmer Brothers remains positive. Coffee is a growing category and we are well positioned to capitalize on that growth through both organic and inorganic opportunities. Looking ahead, our priorities remain the same, completing the Boyd's integration and achieving the expected synergies, leveraging the investments we have made in our roasting facilities, expanding our distribution network, adding new customers, and increasing business with existing customers. As always, I thank those on the call for your continued interest in Farmer Brothers. And with that, I'd like to open up the call for questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Gerry Sweeney with ROTH Capital Partners.
Gerry Sweeney: Just wanted to talk about some of the growth challenges I guess that we're seeing a lot of information in the call here but obviously, it feels like DSD remains sluggish but then offsetting that we have the direct ship which we have that large customer come in on board but you also had -- it sounds like a couple of brands were being brought in-house. I guess what are the challenges really on the DSD business and what is the opportunity here on the direct ship? It feels like that's getting a little bit more traction but DSD is lagging behind. Just trying to connect some dots if we could.
Mike Keown: First, when you think about DSD, we are beginning to see the channel sales pipelines think of that as DSD beginning to come on board. So, if -- without jumping ahead to Q1 we do have a robust catalog of installs coming, machine installs; so we continue to feel like the channel strategy was the right one and while it hasn't come on as quickly as we wanted, it is coming onboard. Shifting to the direct ship business, we do have some large customers, one in particular that's coming onboard but we have seen some erosion in business that was done in some coffee houses, coffee shops and they are internalizing that business, but we didn't lose it to anybody but and without getting into specifics, some larger regional coffee shops and restaurants that have chosen to make their coffee internally.
David Robson: And to give you [indiscernible] to that Gerry, it's probably 2.5 million to 3 million pound impact for us between now and over next year.
Gerry Sweeney: And then switching over to the OpEx line; I'm not sure -- I haven't had a chance to really look at the change that the FIFO change but obviously there was a tickdown in cost and I think some of it was pushed through the cost of goods buying; is there a way that you can sort of bracket out how much of it was -- how much change was pushed -- how much cost was pushed across the goods sold so I can get sort of a levelized run rate?
David Robson: Sure. And when you get our K we've recasted all five years so you get a lot of color on it but for '18 in particular, we moved around $28 million between -- from selling costs of the cost of sales which works out to about 460 basis points, so it's essentially EBITDA neutral, we just moved it to the top, [indiscernible].
Mike Keown: I was going to say, it goes without saying that if you look at the evolution of the transparency of our reporting, we feel like this was an important step; so for those on the call who might remember 6, 7, 8 years ago we had a lot of swings in mark-to-market and then we adopted hedged accounting which began to smooth out and give our investors a better lens on the business, and we think this moved to FIFO, it was another important step to line-up with the industry and give you all the best possible lens on the business.
Gerry Sweeney: And then, how much of an opportunity is there in cost savings as the Boyd's coffee transitions over to your Farmer Brothers equipment? I mean, I think there is some absorption of overhead, I think you talked a little bit about inventory; what's that opportunity as we [indiscernible] through the year?
Mike Keown: Maybe say your question again, I just missed the first part of it.
Gerry Sweeney: As the Boyd's Coffee transitions, as the TSA agreement moves off the books and the Boyd's Coffee becomes a 100% into Farmer Brothers facilities; what -- how much of a savings or opportunity is there -- I think you talked about on the inventory side but I think there would be some absorption of overhead, especially in Northlake etcetera. Anyway, you can…
Mike Keown: Yes. I mean, certainly as we talked about on the guidance that we just gave for '19, there is an incremental $2 million to $3 million of savings we're going to see in '19 and by the time we're all done, we'll have incremental savings in '20 that gets the additional EBITDA that the Boyd's revenue contributes of about $13 million to $16 million. So you're going to -- we saw some benefit this year, we'll see more in '19 and then it will be fully integrated and all the benefits will flow through in fiscal '20.
Gerry Sweeney: You did mention obviously that win on the direct ship that came through last quarter, you mentioned it could be a Top 3 customer. Could you put a Top 3 customer sort of into how many pounds on an annualized basis? Would that be possible, just…
Mike Keown: No, that begins to really – compromise us from a confidentiality standpoint with that. I'm afraid we can't go there, it would probably also not be the wisest thing for us in a competitive industry to put that out for others who maybe listening on the call.
Operator: [Operator Instructions] And our next question comes from the line of Kara Anderson with B. Riley FBR.
Kara Anderson: Just kind of going back to the previous question, are you able to quantify the EBITDA benefit from Boyd's in FY18? And then with '19 looking at $2 million to $3 million, does that really leave the balance of that $13 million to $16 million for fiscal '20?
Mike Keown: That's right. In the current year, it was around $3.8 million.
Kara Anderson: And then, thinking about the softness in the two direct ship customers that -- I mean, you didn't name but on the longevity of that can you remind us of when that softness began, is it worsening or is it kind of stable for those customers at this point. I guess when do we lap sort of that weakness?
David Robson: We started to see as we talked at the beginning of last year, we started to see some softness with those large customers. So I guess you think it from a lap perspective as you get into end of -- beginning of Q2 we start to lap.
Mike Keown: Yes, I would say beginning of Q2.
Operator: And our next question comes from the line of Chris Krueger with Lake Street Capital.
Chris Krueger: Can you please repeat the commentary on Boyd's? Did you state that you expect to be 100% integrated -- was it by the end of the second quarter? I didn't quite catch that.
Mike Keown: We're ending our TSA with Boyd's in October. And we will start producing that product a 100% as we get into the beginning of Q3 which would be January. We did build up some inventory purposely with Boyd's while they were in production, so when we transitioned over to us and move some of their equipment in our facilities, we have the lead time to do that. And that's why in fiscal '19 there is really a partial year synergies and then you get the fiscal '20 is where we get the full synergies of 13 to 16 on an annual basis.
David Robson: So Chris, you might think of it as phases; if you go back, we acquired the business in October of last year, we're able to retain all the large national customers which we felt very good about. And then the next phase was integrating the DSD organization which we actually did and we learned a lot about how to do that. As we move forward, we were over that time bringing in the back house and so forth; and then the last phase is really around bringing in the final elements of production which is around qualifying SKUs to match that, and then ultimately running it in the facility and then decommissioning there. So we're in the home stretch right now and we continue to feel good about it but there is still some significant work to do to just make sure it’s as flawless as possible and compounding that is -- we're in our busy season, so we thought it was prudent to build some inventory to ensure we have terrific customer service and that's why you don't see the synergies flow linearly throughout our FY19. It will happen as we burn through the inventory we build.
Chris Krueger: My other question is just -- in general, with everything going on with Boyd's and trying to work through your new facility. Are you guys looking at potential acquisitions right now or is it -- are you focused on kind of what's on your plate already?
Mike Keown: I think in the immediate term we're focused on what we have; execution is critical, we've got a lot to do to finish up Boyd's, bring on some new business that's right in front of us, and then continue to build out the capabilities here. We've only been in Northlake a couple of years, so we're still building up the team and getting focused aligned, and so forth. That being said, in a very competitive industry we want to continue to understand what's happening and possibly participate, but for right now we're pretty focused on the nearer term than something else.
David Robson: I would add that we're pretty pleased with how Boyd's has performed and we build up the skillset to do future integrations. But Mike is right, at the moment we're busy focused on other things but that doesn't mean overtime if opportunity doesn't come up, we're going to certainly look at them.
Operator: And we do have a follow-up question from the line of Kara Anderson with B. Riley FBR.
Kara Anderson: With the switch from LIFO to FIFO and the reclassification on certain costs to -- I guess, cost of sales. How should we think about the gross margin going forward?
David Robson: As I said earlier, in the current year it was around 460 basis points. So it's going to be lower by 450 to 460 to 500 basis points but then our operating costs will be lower by the same amount.
Operator: Thank you. And I'm showing no further questions at this time. So this does conclude today's Q&A session. And I would like to turn the call back over to Mr. Mike Keown for any closing remarks.
Mike Keown: As always, we really appreciate your interest in Farmer Brothers, and we look forward to the next report. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.